George Paleologou: Welcome everyone to our 2024 Year-End Conference Call. Thank you for joining us today. With me here is our CFO, Will Kalutycz. Our presentation will follow the deck that was posted on our website this morning. Later this morning, we will hold a separate live Q&A session at 10:30 a.m. PST. Details to the call can be found on our press release posted on our website. We are now on Slide 3, which outlines certain key highlights for the year and the fourth quarter. We made solid progress during 2024, and we're well-positioned to meet or exceed our 2027 sales and adjusted EBITDA targets of $10 billion in sales and $1 billion, respectively. Our sales for the year increased by $210 million or 3.3% to $6.5 billion, while our adjusted EBITDA margins expanded by 30 basis points to 9.2%. This is the third consecutive year that we have expanded our adjusted EBITDA margin, which was 8.4% back in 2022. Our success in 2024 was driven by our Protein, Sandwich and Bakery Groups’ initiatives in the U.S. We have invested $814 million over the past three years to expand the production capacity of these businesses. We're now leveraging this capacity to expand successful regional products nationally and to win new business with new customers and channels. Looking forward, the momentum of our U.S. focused sales initiatives continues to build, and we're very excited by what lies ahead for 2025. In terms of the Canadian market, 2024 started slow as consumers felt the impact of high inflation and high interest rates. Things improved in the back half of the year and the fourth quarter, in particular, as interest rates came down with our Canadian businesses generating 1.7% in organic growth for the fourth quarter. We're very pleased with our track record of raising our dividend by 10% or more annually over the past 10 years. Normally, we would be increasing our dividend rate at the start of a new year. However, for 2025, given the current uncertainty around tariffs (ph), we decided that the prudent thing to do is to hold-off until we have better clarity on how the current chaotic situation is going to settle out. We are now on Slide 4. Our recent acquisitions of Casa, NSP Quality Meats, Italia Salami Company and Denmark Sausage, all of which were in the advanced column in our third quarter presentation, provide us with much needed capacity in several high growth product categories that are benefiting from a variety of favorable consumer trends. Looking forward, you can see here that our acquisition pipeline continues to remain as robust as ever, and we're in many discussions and conversations. As we have demonstrated with our most recent transactions, any acquisitions we make will not stretch our balance sheet, and under no circumstances will we deviate from the financial discipline that we have demonstrated in the past. We are now on Pages 5 to 9. Over the past few months, talk of trade wars and tariffs have dominated the daily news headlines. As we speak, there is a lot of uncertainty as to how these issues will be resolved and we certainly hope that in the end, reason and good economics and common sense will prevail. At Premium Brands, we have always adhered to the principle of manufacturing locally and regionally in the jurisdictions that we sell in. And to the extent possible, we prefer to avoid the crossing of borders with our products. This meant that as we expanded our business into the U.S, we chose to purchase or build facilities in the U.S. to service this key market. However, over the past five years, we have also invested in building state-of-the-art capacity in Canada, but only to mainly service the Canadian and overseas markets. Slide 5 shows you the locations of our facilities in Canada and the U.S, with a lot of our U.S.-based capacity purchased or built over the past five years. If we had known that tariffs were imminent five years ago, we would not have acted very differently. For this reason, we're certain that we can manage the various risks related to this issue, and we believe that this issue will not impact us materially over the long-term. We do have some exposure as some of our businesses in Canada export to the U.S. and vice versa. For example, our U.S.-based sandwich (ph) plants export into Canada, while our cooked protein facilities in Canada ship certain products to the U.S. We're confident that our plant redundancy on either side of the border will enable us to transition the manufacturing of most products across borders if we needed to. I will now pass it to Will for more color on our financial results for the quarter. Will?
Will Kalutycz: Thanks, George. Before I begin, I would like to remind you that some of the statements made on today's call may constitute forward-looking information and our future results may differ materially from what we discuss. Please refer to our MD&A for the 13 and 52 weeks ended December 28, 2024, as well as other information on our website for a broader description of the risk factors that could affect our performance. Turning to Slide 11. Our sales for the quarter were a record $1.64 billion, up $84 million or 5.4% as compared to the fourth quarter of 2023. This increase was driven primarily by four factors. The most significant of these was $55 million in organic volume growth from the U.S. focused sales initiatives that George referred to earlier. The other factors were $45 million in selling price increases, which were primarily in response to higher lobster and to a lesser extent, beef, chicken and egg costs. Currency translation gains of $25 million and $13 million of organic volume growth in Canada, driven by several factors, including a stronger consumer environment. These factors were partially offset by two significant, but temporary challenges. The larger of these was lower lobster sales, which were the result of a poor Maine fishery combined with certain customer orders being pushed out to the first quarter of 2025. The other factor was a decline in sandwich sales volumes with a major foodservice customer due to reduced sales in its stores. On a positive note, we did see an improving sales trend with this customer in the quarter and in particular, when compared to the third quarter of 2024. Furthermore, we remain confident that we will see our sales volumes with this customer return to growth later in 2025. Slide 12 shows the organic volume growth rates of our Protein, Sandwich and Bakery Groups’ sales initiatives in the U.S. You can see that our Protein and Bakery Group U.S. sales grew at organic volume growth rates in excess of 20%, generating just under $50 million of organic volume growth. After adjusting for the impact of the Sandwich Group's major customer I referred to earlier, this group generated about $5 million of organic volume growth, which is well below its historic level of growth mainly due to its next series of major project -- product launches not taking effect until 2025. Slide 13 shows our annual sales for each of the last 15 years, which have grown at a compounded annual growth rate of 19.5%, as well as the midpoint of our 2025 revenue guidance range of $7.2 billion to $7.4 billion. You can see our historic track record of steady growth over this period. In terms of 2025, the projected growth is driven by accelerating organic volume growth associated with our Protein, Sandwich and Bakery Groups’ U.S. sales initiatives, recent acquisitions, and the continued stabilization of the Canadian market. Selling price inflation and currency translation also contributed to our projected growth, but to a much lesser extent. Turning to Slide 14. Our adjusted EBITDA for the quarter was $148.7 million, representing an increase of $11.5 million or 8.4% as compared to the fourth quarter of 2023. Positive factors impacting our adjusted EBITDA included our organic sales volume growth and improved production efficiencies across a number of our plants. These were partially offset by a variety of factors, including higher discretionary compensation accruals and additional plant overhead associated with recent capacity expansions. Slide 15 shows our annual adjusted EBITDA for each of the last 15 years, which has grown at a compounded annual growth rate of 20.8%, as well as the midpoint of our 2025 adjusted EBITDA guidance range of $680 million to $700 million. Similar to our 15 year sales trend, you can see our historic track record of steady growth over this period. In terms of 2025, our projected growth is driven by sales volume gains and continued production efficiency improvements. Turning to Slide 16. Our adjusted earnings and earnings per share for the quarter were $46.4 million and $1.05 per share, respectively, up from $37.9 million and $0.85 per share, respectively, in the fourth quarter of 2023. These increases were driven by the growth in our adjusted EBITDA, as well as $11.5 million after tax impact from a change in the estimated useful life of certain production assets. These factors were partially offset by higher depreciation, interest and lease costs associated with the major capacity expansion projects George mentioned earlier. Slide 17 shows our annual adjusted earnings and earnings per share for each of the last 15 years, which have grown at compounded annual growth rates of 18.4% and 11%, respectively. You can see that for the last two years, these metrics have been down. This is due to a combination of higher depreciation, interest and lease costs, associated with recent major capacity expansion projects as well as a higher interest rate environment. Looking forward, while we do not provide specific adjusted earnings and earnings per share guidance, we do expect both these metrics to reach record levels in 2025 based primarily on the projected growth in our adjusted EBITDA. Turning to Slide 18. For the quarter, we spent $80.3 million on capital expenditures, consisting of $48.7 million on major project CapEx, $20.1 million in smaller project CapEx, and $11.5 million on maintenance CapEx. We define project CapEx as investments that are expected to generate an unlevered after tax internal rate of return of 15% or greater. All other capital expenditures are classified as maintenance CapEx. Primarily, all our major project capital expenditures in the quarter were on investments to increase the capacities and, in many case, operating efficiencies of our Protein and Sandwich Group's businesses to support their U.S. focused growth initiatives. Looking forward, based on our approved major project CapEx pipeline, we expect to invest another $145 million on these projects over the next four quarters. Also during the quarter, we completed two asset sales. One involved the sale of a vacant piece of land for $26 million and the other was the sale and leaseback of a recently expanded production facility located in the state of Washington for approximately $94 million. Slide 19 shows some of the key metrics we use to assess our financial position. Our debt leverage levels increased slightly as compared to the last quarter, with our senior debt to EBITDA ratio going from 3.4:1 to 3.5:1 and our total debt to EBITDA ratio, which includes our subordinate convertible debentures, increasing from 4.4:1 to 4.5:1. The increases in both metrics were due to a rapid weakening of the Canadian dollar relative to the U.S. dollar towards the end of the quarter. This resulted in our U.S. denominated debt being valued much differently than our U.S. denominated cash flows being used to service it. Normalizing for this anomaly, our senior debt to EBITDA and total debt to EBITDA ratios for the quarter are 3.3:1 and 4.3:1, respectively. While these levels are an improvement from the third quarter of 2024, they are still above the long- term targeted ranges we have set for them. They are, however, well within our shorter term operating parameters. In terms of liquidity, we finished the quarter in a strong position with $583 million in unused credit capacity. Subsequent to the quarter, we completed an offering of convertible debentures resulting in net proceeds of $144 million. The cash from the offering will be used to pay down our senior revolving credit facility, which will then be used to repay $172.5 million in convertible debentures coming due at the end of April. The next and final slide shows a variety of our free cash flow and dividend metrics over the last 18 years. For 2024, our payout ratio was above our long-term target of 50% or less. However, looking forward, we expect to be below this target in 2025 based on our projections for record free cash flow and free cash flow per share. Subsequent to the fourth quarter, we declared a dividend of $0.85 per share for the first quarter of 2025. This concludes our presentation. Please join us on our Q&A conference call later today at 10:30 a.m. Vancouver time, 1:30 p.m. Toronto time. Thank you.
End of Q&A: